Operator: Good day, ladies and gentlemen, and welcome to the fourth quarter 2011 Providence Service Corporation earnings conference call. My name is Ann and I will be your coordinator for today’s call. As a reminder this conference is being recorded for replay purposes. [Operator Instructions] We will be facilitating a question-and-answer session following the presentation.
 I’d now like to turn the presentation over to Alison Ziegler from Cameron Associates. 
Alison Ziegler: Thanks Ann. Good morning, everyone, and thank you for joining us this morning for Providence’s conference call and webcast to discuss financial results for the fourth quarter ended December 31, 2011. The press release was issued last night. If anyone would like to be added to our email list, please call Cameron Associates at (212) 554-5469.
 Before we begin, please note that we have arranged for a replay of this call. The replay will be available approximately one hour after the call’s conclusion and will remain available until March 22. The replay number is (888) 286-8010 with the pass code 17511087. This call is also being webcast live with a replay available. To access the webcast go to www.provcorp.com and look under the event calendar on the IR page.
 Before we get started, I’d like to remind everyone of the Safe Harbor statement included in the press release and that the cautionary statements apply to today’s conference call as well. During the course of this call, the company will make projections or other forward-looking statements regarding future events or the company’s beliefs about its financial results for 2012 and beyond.
 We wish to caution you that such statements are just predictions and involve risks and uncertainties. Actual results may differ materially. Factors which may affect actual results are detailed in the company’s filing with the SEC, including the company’s latest 10-K. 
 The company’s forecasts are dynamic and subject to change, therefore these forecasts speak only as of the date of this webcast, March 15, 2012. The company may choose from time-to-time to update them and if they do, we’ll disseminate the updates to the investing public.
 I’d now like to turn the call over to Fletcher McCusker, Chairman and CEO. Go ahead Fletcher. 
Fletcher McCusker: Alison, thank you, and good morning everyone from Arizona. I am actually in Phoenix this morning. Michael Deitch, our CFO; and Craig Norris, our Chief Operating Officer are in the corporate office in Tucson. And also joining us on today’s call is Herman Schwarz, the CEO of LogistiCare, and so if we all sound like we are in different places, it’s because we are.
 2011 was certainly one of the most remarkable years in our company’s 15-year history. Medicaid has become one of the most talked about and partisan issues of our time. Enrollment continues to grow and is on track to grow by yet another third in 2013. 
 The United States Supreme Court recently remanded the California case in joining the governor's proposed 10% rate cuts back to the ninth circuit, with dictum from the majority supporting judicial review in favor of providers that sue any state that attempts to make arbitrary cuts to Medicaid. It was a landmark case that we watched for a couple of years.
 Five new states have outsourced non-emergency transportation. We won outright in 4 of those bids and we split the fifth, Texas, taking the Dallas region, and one of our competitors winning the Houston contract. Furthermore we won 8 of 9 incumbent NET contracts, losing only Denver, a small $6 million contract.
 Two NET states that our competitors took away from us last year imploded under competitive watch and we were asked literally to rush back into these states and have recently reengaged in Missouri and Connecticut as a result of this activity. All of this represents positive drivers for our business, but not without a short-term cost. 
 The competitive threats last year to our NET business have cost us about 250 basis points of margin as we renewed these contracts that reduced rates. However we believe there is a silver lining. Our recent dialogue with states indicates that our competitors' well publicized failures and unrealistic pricing to win bids have made states now extremely weary of bargain pricing and hollow promises. 
 LogistiCare has further established itself as the optimum solution in the NET business and now has a great deal of credibility. There’s still an awful lot of NET business that will be put out to bid in the future and we believe we are now better positioned than ever before to be the recipient of this business, which will save states millions of dollars when they are struggling with budget issues. What that’s produced for us is remarkably stable and growing revenue, but flat earnings due to lost margin in the short term. 
 I’ll let Michael share with you the year-end results. Michael? 
Michael Deitch: Thanks Fletcher. Revenue for the fourth quarter of 2011 totaled $244.3 million, up from almost $219.3 million for the fourth quarter of 2010, an 11.4% increase. For the fourth quarter of 2011 compared to the fourth quarter of last year, home and community-based revenue increased by 10.8%. 
 Foster care revenue was virtually flat quarter-over-quarter. Management fees decreased 23.4% due to Providence acquiring a previously managed entity during 2011. Transportation services revenue grew 13.4%. 
 For the 2011 calendar year, revenue totaled almost $943 million, up 7.2% from almost $879.7 million in 2010. For the year 2011, home and community-based revenue was 7.45%. Foster care revenue declined 3.8%, primarily due to a decrease in foster care enrollment in Arizona. Management fees decreased 7%. Transportation services grew 8.1%.
 Our fourth quarter 2011 operating income totaled almost $7.1 million, or 2.9% of revenue. Last year our 2010 fourth quarter operating income totaled $11.2 million and 5.1% of revenue. For the 2011 year, operating income was $36.6 million, or 3.9% of revenue. For the 2010 year, operating income was $57.4 million, or 6.5% of revenue.
 For the fourth quarter of 2011, net income totaled almost $3 million, which was 1.2% of revenue and translates into $0.22 per diluted share. For the 2011 year, net income totaled $16.9 million, which was 1.8% of revenue, and resulted in $1.27 per diluted share. 2011 year included a $2.7 million gain on a bargained purchase retrospectively recorded in Q2, relating to the acquisition previously referenced. 
 For the analysts modeling our business for the 2012-year, we expect general and administrative expense to be between 5% and 5.5%, consistent with the historical amounts and we expect an effective income tax rate of 42.5%. At the end of our fourth quarter our accounts receivable day sales outstanding was 34 days. 
 In 2011 we generated approximately $31 million in cash provided by operations. At the end of our fourth quarter we had approximately $43 million in cash and had approximately $150.5 million in total debt outstanding, down from approximately $182.3 million a year ago.
 With that, I’ll turn the call over to Craig Norris. 
Craig Norris: Thank you, Michael. For the quarter our direct client census on the Social Services side was approximately 61,000 clients. This is an increase from the prior year quarter of roughly 2,800 clients. We also had over 11 million individuals eligible to receive services under our LogistiCare division. This is an increase of over 2 million eligible members compared to the same quarter of 2010.
 All direct and indirect clients are being served from 501 local offices in 42 states, the District of Colombia and Canada. Combined our owned and managed entities there are approximately 10,500 employees serving 972 government contracts.
 In the fourth quarter the Social Services segment did have a few markets transition into managed care systems. That did slow us down a bit as operations adapted to the changes in referrals, authorizations and eligibility functions. This is mostly a typical transition and I expect it to see that in the first quarter. 
 Our business model as well as our local leadership continued to adapt and make necessary changes in response of state payers trying to become more efficient. I believe this will ultimately benefit us in these environments.
 Now, I’ll hand it out to Herman for more details on LogistiCare. Herman? 
Herman Schwarz: Thanks Craig and good morning, everyone. In late 2010 I met with the top 40 managers in LogistiCare and emphasized how critical 2011 would be for our company, as 9 of our incumbent states contracts, representing nearly 45% of our revenue, would be re-bid during that year. 
 If you had asked me at that time to handicap the results of those bids, given the state budget pressures that existed at the time and the more aggressive competitive landscape we were facing, I would never have predicted the level of success we experienced. But due to the tremendous work of our operating teams and our corporate staff, we not only protected market share, but we extended it by winning several new bids as well.
 We finished 2011 on quite a roll by retaining our core regions in Arkansas, expanding our contract in Georgia from 1 to 3 regions and re-winning our contract in Nevada. In addition, we also renamed the winner of the new contract being led on the 5 boroughs of New York City and finalized the contract with Texas to manage the Dallas and surrounding counties region of that state. 
 You will also recall that in last quarter's call, I mentioned we were contesting the award of the statewide Connecticut contract to a competitor, even though we had received the highest scoring in the RFP process. I’m pleased to report that the protest was successful and that LogistiCare is now the broker of choice for the entire state of Connecticut. 
 We also spoke on that call about Missouri asking LogistiCare to reengage in the state after a competitor failed to perform. As Fletcher mentioned earlier, this was 1 of 2 states where this occurred. You might remember that at that end, the South Carolina rebid in late 2010, we won a new region, but lost our 2 encumbered regions when the competitor under bid us by 25%. 
 This implementation was delayed by the protest and contract negotiation process, but finally went live in August 2011. Within 3 months our competitor was struggling with service delivery and requested a significant rate increase from the state. The state responded by asking us to take the 2 regions back under our contract at the price we had proposed during the RFP process. As of February 21 of this year, we now manage the Medicaid transportation program for the entire state of South Carolina.
 All of this new business means we have been incredibly busy hiring and training people to implement these contracts, most of which go live in the second quarter. In fact, since January 1 we have hired over 400 people and expanded our workforce by nearly 25%. We have people on the ground implementing programs in Connecticut, Georgia, Texas and New York City as we speak today.
 Clearly, we are excited by the surge in new business and with the endorsement we have received from returning clients. The fact that they have come back at our proposed pricing validates our belief that we are delivering quality service and pricing responsibly. 
 That being said, we do recognize the realities of competitive bidding and the pressure that has been put on our margins for 2012. We have not been helped by the unusually warm weather so far in 2012 as our capitated contracts would normally benefit from significant trip cancellations during the winter months.
 In addition, while we are not directly impacted by rising fuel prices, we do know that our margin tends to be negatively impacted during such trends as a consequence of increases in utilization and possible fuel supplements we make to keep our provider network healthy.
 With that, I will turn the call back over to Fletcher. 
Fletcher McCusker: Herman, thank you very much. We are very proud of the manner in which we have navigated this last year, especially on the NET side, where we have this amazing bidding success record. Even when our competitors win against us, they seem incapable of executing and significant lost business has been returned to us.
 Herman and his team have built a great book of business that helps endear our company’s segments to Medicaid leaders. Our home-based counselors continue to earn equally high marks for tackling some of Medicaid's most difficult cases in both rural and urban America. 
 As a result, today we can guide you to our billion-dollar book of business for 2012, serving America's most challenged population and making a respectable profit while doing great work. Our Social Services margins are holding. As we’ve explained our NET margin will be down, as Herman is hiring up and starting up 5 contracts almost simultaneously.
 For those people modeling our business, we would point you to approximately an 8.5% EBITDA margin in Social Services and a 6.5% EBITDA margin for the NET segment, producing somewhere around $1.20 to $1.25 EPS for 2012.
 With that, Ann, now we are ready to take questions. 
Operator: Okay, thank you. [Operator Instructions] And our first question comes from the line of Kevin Campbell with Avondale. 
Kevin Campbell: Herman, I was hoping you could maybe give us some color on the amount of revenues that we should expect to start of this year that weren’t included in the fourth quarter run rate, so that we can have a better sense as to how to model that and when they do, in fact, start? 
Herman Schwarz: That’s a lot of things to go through. I can do it in a real general sense. South Carolina -- the extra work in South Carolina is worth approximately $3.5 million a month. That started, as I indicated, at the end of February, so you can kind of put that into the revenue run rate starting March 1.
 New York City is a tough one to kind of give you off the top of my head, Kevin, because it phases in by borough. So, for instance, we start on May 1 with Brooklyn and we honestly, while we have modeled something, we don’t quite know exactly how that’s going to flush through. So we do Brooklyn May 1; 2 months later we take on another borough; 2 months later we take on another borough, all the way through the end of the year. At least this is the current prescribed schedule. 
 And then on January 1 we are supposed to take on the entire managed-care population in New York City, which is between 2.5 million to 3 million people. So it’s kind of hard for me to kind of throw that at you. We can get something to you. 
 Georgia phases in as well, those 2 additional regions. One is scheduled to start April 1. Each region in Georgia is worth about $15 million a year, so you can kind of use a $1.25 million a month. The next one right now is scheduled to start July 1. 
 Texas annually is going to be in that $30 million to $35 million range for Dallas, and that’s scheduled to start, I’d say you could model that based off of a May 1, start. Who am I missing? And then Connecticut, Connecticut’s real squirrelly and we’d have to kind of work through that, because that’s flipping from a capitated contract to an ASO model. So actually the revenue is going to go down, although the margins will be about the same in terms of percentages. 
 Transportation, at least the way they are approaching it today, the transportation will be a pass-through. So that one's going to drop from, we are doing about $20 million a year in Connecticut in ’11; it will probably drop down to about -- it’s going to be a blend because that doesn’t get started. So it will be about $10 million for 2012. So it’s going to actually cut in half from what was in the run rate at the end of ’11. 
Kevin Campbell: Okay, that’s exactly what I was looking for. And the start-up expenses, maybe if you could give us some color as to the dollar amount, maybe we should expect in first quarter, second quarter… 
Michael Deitch: Yes, first quarter we are looking at probably around $1 million of startup and, again, the only revenue we are going to get is that one-month of South Carolina. So at a 6.5% EBIDTA margin we kind of average you are looking at $300,000 or so of EBITDA out of South Carolina on $1 million of expense for the ones I talked about. 
 And then with New York City not starting until May, we are going to have obviously a full month in the second quarter of April, of startup cost there and as well in Texas. So you are probably talking about somewhere between -- around $300,000 or $400,000 -- maybe even upwards $500,000 of start-up costs in the second quarter as well. 
Kevin Campbell: Okay, and then after that you think, that’s when the startup costs go away? 
Michael Deitch: Should stop. I mean we’ll have a little bit in Georgia when we take on that third region, but not a tremendous amount because we’ll be able to leverage some of the staff we’ve already got. 
 The Nevada new contract starts in May, the one we just won at the end of the year and it actually just got ratified this week. So that starts May 1 and in order to start that, we do have to move the call center into Nevada, which currently those calls are taken in Phoenix. So we got a little startup there, but it’s not going to be tremendously material. 
Kevin Campbell: Okay, that’s very helpful. Michael, maybe on the cash flow from ops, can you give us some color as to why it was negative in the fourth quarter and what we should expect cash flow from ops to be in 2012 and our CapEx spend in 2012? 
Michael Deitch: Let's take the first thing first, Kevin. AR you’ll notice went up in Q4. The good news about that is it’s primarily related to the new wins on the LogistiCare side; Missouri, Michigan, Hawaii and Florida accounted for between $6 million and $7 million of that and you’ll notice our AR change was $6.6 million. So that accounts for virtually all of it. 
Kevin Campbell: Okay, 2012 CapEx and cash flow from ops? 
Michael Deitch: Today's CapEx is about $7.1 million or $7.2 million and Herman’s additional for his startup -- what would you say, Herman, it is $4 million or $5 million? 
Herman Schwarz: Yes, at least on the ones going on right now, that’s what it looks like. 
Michael Deitch: So the total of those 2, Kevin. And then cash for ’12, I mean, we don’t project our balance sheet, therefore we don’t really give a cash flow project, but I’ll tell you, that should be between $30 million and $40 million for the year. 
Kevin Campbell: Okay, and then last question, on census growth in the Social Services segment, maybe where – obviously, it was strong here and the fourth quarter was up 5%. I think that was the best comp you had for the last 6 or 7 quarters. So maybe how should we think about that census growth continuing on the Social Services side in 2012? Is 5% a good number, do you think it will be higher than that, do you think it will come back down? 
Michael Deitch: Yes, I mean, I think 5% is probably a good number. Some markets are growing, some are little flatter. I wouldn’t go more than that Kevin. 
Operator: And our next question comes from the line of Jack Sherck with SunTrust. Please proceed. 
Jack Sherck: Thank you very much. Just a follow-up to Kevin’s question, just in a more general sense, with the guidance for 1Q, what’s the rough break down, if we are looking at a pie chart, on start up costs versus utilization, versus the high utilization. How much of that do they impact? 
Fletcher McCusker: In Q1? 
Jack Sherck: Yes, yes. Just trying to get a sense of… 
Fletcher McCusker: I think they are trying to estimate Herman the impact whether on margin. 
Jack Sherck: I mean is it three quarters of the -- is higher cost versus quarter’s higher utilization, just sort of... 
Herman Schwarz: No, I mean it's really a combination. I mean, you can look at -- basically we are spending now on a run rate basis about $2 million a day in transportation, somewhere in that neighborhood, depending on what’s going on out there. And so when you think about the fact that in New Jersey and Virginia, Wisconsin or Pennsylvania are some of our larger contracts now and make a bulk of that $2 million, when we don’t get a good snow in a month like we used to and that would cancel most of those trips, except for maybe the dialysis and the real seriously ill folks that we still try to get there, we could make up a good $1 million or drop a good $1 million-plus a month to our bottom line because of that weather. 
 So in the first quarter, having had absolutely no snow, we are probably looking at somewhere between $1 million and $2 million in both January and February related to the weather. 
Jack Sherck: Okay, so it’s as much high utilization as it is start-up cost. 
Herman Schwarz: Yes, but I mean I want to caution you, utilization is a dangerous term, because we look at utilization just kind of as a trending usage of the program a lot of times and in this case that’s not what we believe is happening out there yet. While fuel is having some impact on it, it really is a function of trip cancellations. 
 For instance, in Jersey, last year in January we had a 22% cancellation rate. We only budgeted for around 19% this year and it came in at 16% in January. That’s worth $400,000 right there. 
Jack Sherck: Right. 
Herman Schwarz: So it's really -- so when we talk about utilization, yes, it is a utilization measure, but it’s not the way we normally look at utilization. It's really a function of just not getting the cancellations we expect. 
Jack Sherck: Okay, I follow you there. And then I know you don’t have any rebids coming up in 2012. What does the picture look like for ’13? 
Herman Schwarz: The only state contracts that are scheduled to be put out there, we said no state capitated contracts in Dallas, Michigan which is a small ASO contract around the 3 counties around Detroit. It could expire at the end of this year and it could also get extended and the state’s trying to decide what they want to do. That’s an ASO. They have been talking about going capitated and maybe going full state. So we don’t really look at that in the same way. Oklahoma is the only major capitated program that’s scheduled to re-bid in 2013. 
Jack Sherck: Okay, and then just refresh my memory, of overall LogistiCare, what percentage of contracts are capitated, what percentage of revenue? 
Herman Schwarz: In the 70% range. 
Jack Sherck: Okay, and then have any of your providers started the conversation or initiated in terms of giving them some sort of supplements for higher fuel prices yet? 
Fletcher McCusker: Well, it's kind of a running joke, that our providers have those conversations non-stop and are always asking for increases. So certainly we are hearing it, but we haven’t done anything yet, and there are no plans of doing anything yet. Gas prices right now are no higher than they were at other times last year and the year before. So at this point we are not inclined to do anything. I mean we are not getting any increases from our clients, obviously, right now, so and that comes right out of our pocket. 
 But there is a big difference between the $3.70 to $3.90 and $5. So if gas prices really get to $5 in the summer time like the talk is, will we hear a lot more screaming and will we be potentially forced to do something in certain markets? In all likelihood, yes. 
Jack Sherck: Okay and then on the 250 basis points, Fletcher, that you mentioned, in profit compression you are seeing, is that an EBITDA number? 
Fletcher McCusker: That’s what we call, yes contribution margin and our EBITDA margin, Jack, at the segment level. So when you model segment revenue you can apply about an 8.5% contribution margin to Social Services and now about a 6.5% to NET. 
Jack Sherck: Okay, then just my final question is on that compression that you saw, with some of these contracts going back to LogistiCare because of poor execution on behalf of new providers, do you think that’s going to be a trend that's going to continue that should help pricing going forward or would you see those as more onetime in nature? 
Fletcher McCusker: We were prepared to walk from a couple of states that had seized the moment, if you will, during these very competitive times. As Missouri and the South Carolina kind of fell apart, we had less pressure to reduce our rates than we had in the prior months. On the average, Jack, of the 8 contracts we renewed, we reduced our rates on the average by 15% and we think that is over, given the competitive position we enjoy today. 
Jack Sherck: Excellent. 
Operator: [Operator Instructions] And our next questions comes from the line of Rick D’Auteuil with Columbia Management. 
Rick D’Auteuil: Just a couple of questions related to LogistiCare. So in 2011, what were the total start-up costs in 2011 related to, I guess, the new -- re-winning Missouri, but also you had New Jersey with the rural area? And if you want to account inefficiencies in New Jersey, that’s fine. 
Fletcher McCusker: Can you do -- I’m not sure that we can do that real time. We might have to do some work on that and get back to you. Herman, you want to jump in on that one? 
Herman Schwarz: I mean, Michael, you have the start up cost for ’11 right? 
Michael Deitch: I do. It’s $1.448 million. 
Herman Schwarz: That does not include the inefficacies in New Jersey, Rick. That would be a much bigger number. 
Rick D’Auteuil: Okay. What I’m trying to get at is, we are going to have start-up costs this year in ‘12 related to the new wins. You’ve quantified some of those. Is the margin, the 6.5% margin including or excluding the start-up cost? So is that the all-in margin or is that sort of… 
Fletcher McCusker: That would be an all-in margin and that’s our budget including start up costs. 
Rick D’Auteuil: So theoretically that should look much better in the second half of the year or even as we exit the year, the run rate should be better on that business? 
Fletcher McCusker: That’s an intuitive comment, yes. 
Rick D’Auteuil: Okay, and the 250 basis points of pressure, was that -- you just mentioned pricing is down 15%. Does that not include the start-up costs then, that 250-point basis points of pressure? 
Fletcher McCusker: That’s just kind of an all-in number if you’ve traced the NET margins, Rick, over time. The 2 segments used to be relatively comparable, 8.5% to 9%, and we are now budgeting 6.5%. Some portion of that would be contributed to start-up costs, although that’s probably the smallest piece of that. We renewed $250 million of business at a 15% rate reduction. So that’s the primary component of the pressure on margin. 
Rick D’Auteuil: Okay, and just general utilization rates. Forget about the weather in Q1 and lack of bad weather that lowered the utilization, is it trending as expected or is it trending up? Where are utilization rates? 
Fletcher McCusker: I mean you got to look at a high contract, Rick, but, I mean, in majority of the contracts it has crept up. We have experienced volume increases. We do budget for that when we sit down and do our budget. So we have a forecast in there relative to 2012 and that’s 6.5%, looking at those utilization trends. But we are not real good at predicting the weather and there is noise in there. So while I can look at January and the February number are just coming out in terms of getting all the detail behind the financials, which is the utilizations and what have you.
 I can’t always separate as much -- as well as we would like to, how much is weather and how much is just general utilization. We can make some assumptions based on what we know and what we have experienced, but I would tell you utilization is up in many of our contracts. But we also built that into the budget. So right now I wouldn’t say that we are experiencing tremendous growth in utilization above what we expected yet. 
Rick D’Auteuil: And you do, I mean, contractually get rate relief at some level of utilization right, if its above the… 
Fletcher McCusker: Well, we can go back and negotiate. I mean, as part of these re-bids the states have changed some of the structures of the contracts. In the earlier days and under the previous contracts a lot of the states were using the actuarial methodology, but under the DRA a lot of them have been able to go to more of a competitive-bidding process and don’t have to go to an actuarial view. 
 When there was an actuarial review, yes, it always took into account and there was that lag. Under the competitive bidding, they can either set it up with a CPI increase, they can set it up for renegotiation, they can set it up for a fixed fee. With health care reform coming on, there’s a lot of uncertainty around the increase in population if health care reform goes through. So at this point a lot of those contracts will require us having to go and sit down with our client and making a case and presenting the numbers and there’s no guarantee. They are not required to give us a rate increase. 
 Now we are hopeful, obviously, that where we have stepped back in for a competitor that tried to price too low and got into trouble, but the states recognize the fact that we are not -- just coming to them and asking for a rate increase for no reason that we got the experience and the knowledge and the data to demonstrate that it's required or they have to change the program a little bit and reduce some services if they want to maintain the cost. 
Rick D’Auteuil: Okay, back on New Jersey, is that operating on plan now or are you still experiencing issues there? 
Fletcher McCusker: No, it's operating on a unit-cost level where we wanted to get it and target it and it's operating -- we are generating the PNP [ph] and we thought we would. But New Jersey, being a $100 million plus contract, and having, like I indicated, having had no weather, we haven’t been able to make that up. So the weather has impacted us, but in any -- not in any normal inefficiencies. 
Rick D’Auteuil: Okay, and you wouldn’t get any relief from the weather utilization as of… 
Fletcher McCusker: No, that’s both the risk and the reward of being in a capitated contract. 
Rick D’Auteuil: Okay. All right, I’ll circle back. 
Operator: [Operator Instructions] And our next question comes from the line of Walter Winnitzki with Nicusa Capital. 
Walter Winnitzki: I have 2 questions. Herman, relative to the comments you made about the EBITDA margin in the transportation business, which you said does include the start-up cost, what would you estimate the ongoing, operational EBITDA margin is excluding the start-up cost? So that’s the first question and then I’ll follow up with the second one. 
Herman Schwarz: We probably have to get -- I don’t think we’ve actually done that ourselves, Walt, so. 
Walter Winnitzki: I think that’s what people are trying to get at. You are going through a period here where you’ve got a lot of good news relative to the contracts and people are just trying to see kind of what the earnings power of that business is once we get through this phase. So I think that would be helpful. 
Herman Schwarz: Well, let me at least say this. You guys and our shareholders expect us to continue to grow, and start-up costs are not an unusual expense. They are part of the business and are necessary in order to continue to grow. So you could argue that if I’m to continue to win contracts year-over-year, that I’m going to always have start-up costs. And if these contracts are in the $30 million to $35 million range, that cost to bring one of those up is $0.5 million to $1 million, somewhere in that range total. So there’s going to always be start-up cost built into our margins. 
 We do price for it over time. As I’ve tried to indicate, the timing of the start-up cost relative to when we are going to start creating revenue is what causes some of the concern as a public company, because we can’t time it. And so we may incur those expenses in a quarter or in a year prior to when we start generating revenue. But there is not going to be -- if I stop growing, then the start-up costs stop, but I don’t think you guys want me to do that and I know we don’t want to do that. 
Walter Winnitzki: Sure. I was thinking that’s a high-class problem to have. I think what we’re all trying to do is just kind of estimate the earnings power of your book of business at any given point in time. 
Fletcher McCusker: I think if you interpolate some of what we said and I think we can help you offline. You’re looking at a couple of million bucks of budgeted start-up costs in ‘12. If you apply the 6.5% margin to the book of business and then add back that, that kind of gets you to a pre-start-up-cost margin basis and that’s probably something people on this call can back into. We haven’t necessarily guided to anything like that, but I think the math's there, Walt. With a little work on maybe both of our parts, but we could get to that. 
 We didn’t want to artificially -- because I think Herman is right. If we say we have start-up costs this year, but we are not going to have any next year, then I think that we develop a false answer about what our margin capabilities are. So for the moment, 6.5% is probably a pretty good number. 
Walter Winnitzki: Okay, good, agreed. Second question has to do with the New York City win. Just if you can give us a scale of size on that? I wasn’t sure if I understood if that was going to be ASO or capitated. And should we just basically take the size of the contract and roll it out, divide each borough equally? 
Fletcher McCusker: No, they are all different sizes. We are projecting the New York City contract by the time we get all of that HMO population I mentioned that’s supposed to come on at the beginning of 2013, we are estimating that to be, and it is an ASO model, in the neighborhood of $20 million to $23 million. 
Operator: And our next question comes from the line of Rick D’Auteuil with Columbia Management. 
Rick D’Auteuil: Another question for Herman. On new states, I know you've got your hands full short term here, but is there anything in the pipeline for the back half of the year that might help us in ‘13 as it relates to new states considering the service? 
Herman Schwarz: Mike, and I really hope that it really is in the back end of the year, because we are pretty stretched right now and the challenge is, now that we won it all, we've got to executive. So we do need some time. There are no states that currently have an RFP out on the street. So I can’t definitively say yes, but we are in conversations and have discussions with handful of states that we anticipate or expect that are looking at putting out RFPs and given where we are the year that its already March and there is nothing there, by the time they were do something and get it out there, it would be no sooner than a 2013 start. 
 So we do anticipate there will be a couple of states that will be out there for something in 2013 and obviously we also believe that given that we are staggering some of these starts throughout 2012, Rick, that when we come out of 2012 and into 2013 those will be fully loaded into out run rate for the whole year, and that will also give us a nice pop on the top line. 
Fletcher McCusker: The 2 large states too, Rick, are prototypically. Both Texas and New York see these as demonstration projects. So if they are successful, we would hope to see some substantial additional business in those 2 states. But again, that’s warm and fuzzy conversation and there is no specifics that currently we are doing any buildup in that book f businesses. 
Rick D’Auteuil: What would be your thoughts on free cash flow use for 2012? You are sitting with a lot of cash on your balance sheet. You have offsetting debt. Is there some thought about bringing that debt down further? 
Fletcher McCusker: Remember, we are obligated to get the convert down to $25 million. That was a concession we made with the new senior lenders, because that terms out before they do. So we’ll probably continue to do that and then we are comfortable at $125 million. That’s under 2x leverage for us. So I would expect -- and Michael, the convert now is right about $50 million. 
Michael Deitch: That’s correct, sir. 
Fletcher McCusker: So we’ll probably spend the next $25 million, Rick, on chipping that away and then we should be very comfortable with our leverage. 
Operator: Ladies and gentlemen, with no further questions, this concludes today’s question-and-answer session. I would now like to turn the call back to Mr. Fletcher McCusker for closing remarks. 
Fletcher McCusker: Ann, thank you very much, and great questions, everybody. If we didn’t get something as specific as you would like to, please follow up with either Michael or I and we hope to see you all sometime over the summer. Again, thank you very much and good day. 
Operator: Ladies and gentlemen, we thank you for your participation in today’s conference. This concludes the presentation and you may now disconnect. Have a good day.